Operator: Good day, and welcome to Cogeco Inc. and Cogeco Communications Inc. Q4 2025 Earnings Conference Call. Today's conference is being recorded. At this time, I would like to turn the conference over to Mr. Patrice Ouimet, Chief Financial Officer of Cogeco Inc. and Cogeco Communications Inc. Please go ahead, Mr. Ouimet.
Patrice Ouimet: Thank you, operator. So good morning, everyone. Welcome to our fourth quarter conference call. So as usual, before we begin the call, I'd like to remind listeners that today's discussion will include estimates and other forward-looking information. We ask that you review the cautionary language in the press releases and annual report issued yesterday regarding the various risks, assumptions and uncertainties that could cause our actual results to differ. So with that, I'll pass the line to Fred Perron for opening remarks.
Frederic Perron: Thank you, Patrice. Good morning, everyone. For Cogeco Communications, the fourth quarter marked the end of year 1 of our 3-year transformation program focused on synergies, digital, analytics, network expansion and wireless, and we're pleased to report that we're on track. Year 1 was part of mainly focused on OpEx and CapEx synergies, and we delivered on those targets, as you can see by our 110 basis points year-on-year improvement in adjusted EBITDA margin and our $38 million year-on-year increase in free cash flow in constant currency. It's worth mentioning that the CapEx efficiency enabling our growth in free cash flow comes mainly from maintenance synergies as we're continuing to make important investments in growing and enhancing our networks. A recent report by Ookla, for example, noted a significant increase in our Canadian upload speeds as a result of our ongoing network upgrade initiative. And in the U.S., we've upgraded over 35,000 of our cable doors to fiber during the fiscal year, in addition to adding nearly 50,000 new homes passed across our North American footprint. Years 2 and 3 of our transformation will now add more emphasis on our top line performance as per our original plan. This will include additional investments in growing previously underdeveloped sales and marketing channels in the U.S. in the context of the evolving competitive environment as well as scaling wireless in Canada. When we met last quarter, we said that we were expecting strong continued Canadian customer growth, combined with some improvements in our U.S. subscriber metrics, and we're pleased to be delivering on that expectation. We just had our best Canadian Internet customer growth in 13 years. This growth was driven mostly by market share gains in our legacy footprint on our own network. The completion of new rural expansion programs in Ontario has yet to accelerate through fiscal '26 and '27, providing a new additional lever for us in the future. We've seen a reduction in competitor promotional activity in the quarter, which has more than offset some minor noise around FWA and wholesale, including our own deployment as a reseller under the Cogeco brand across Quebec. So it's fair to say that on balance, our Canadian competitive environment is evolving in a constructive manner at present time. Our launch of the Canadian wireless service is going ahead of plan, and October marked the deployment of this new service across most of our wireline operating footprint. Our positive early sales results on wireless have already enabled us to start pulling back on some of our initial introductory offers. On the U.S. side, our year-on-year financials were impacted by ARPU pressures, the cumulative impact of customer losses in the prior quarters, a difficult comparative period last year and a smaller rate increase this year than in the previous year. This resulted in a year-on-year decline in adjusted EBITDA, which was in line with what we had indicated to you last quarter. That being said, our additional sales and marketing activities are working. Our subscriber trends are now improving, and we're delivering on our long-stated goal of growing the Ohio customer base during the quarter. In fact, it's the first time since we acquired the Ohio business 4 years ago that we achieved customer growth in that state. We expect continued improvements in our U.S. subscriber metrics over the coming quarters. On October 8, we launched a completely revamped pricing strategy for the U.S. This new approach gives more value, predictability and transparency to our customers, including full price protection for the first 2 years. This is just one of many tactics that we're deploying to be more aggressive and more innovative in our U.S. go-to-market. Today, we're also publishing our consolidated guidance for the new fiscal year for CCA and CGO more broadly, which offers a continued growth in free cash flow in constant currency despite competition-driven top line pressures. Our adjusted EBITDA guidance of 0% to minus 2% year-on-year reflects additional investments in scaling previously underdeveloped sales and marketing channels in the U.S. and growing our Canadian wireless business, as previously explained. We believe these investments present attractive upside for us and are confident that investors will get disproportionate returns from them over time. We're still planning to grow our free cash flow to $600 million next year in fiscal 2027, which is a good base for further dividend growth as we're announcing today as well as further deleveraging. Finally, turning over to Cogeco Media. While competitive dynamics in the radio advertising market remain, Q4 revenue increased year-on-year, lifted by strength in our digital advertising solutions and continued listener engagement. On that, I'll turn it over to Patrice for more details on our results and guidance. Patrice?
Patrice Ouimet: Thank you, Fred. So in Canada, Cogeco Connections revenue declined by 1.5% in the fourth quarter, mainly due to lower revenue per customer from fewer video and wireline phone service subscribers, partly offset by growth in our Internet subscriber base, which added 17,000 new customers during the quarter. Adjusted EBITDA declined by 1.4% in constant currency due to the lower revenue being partially offset by lower operating expenses resulting from our cost reduction initiatives and operating efficiencies. We added 10,800 homes passed during the quarter, mainly through fiber-to-the-home under our network expansion program, including those related to the Ontario subsidized program. In the U.S., Breezeline's revenue declined by 9.2% in constant currency due to the cumulative decline in the subscriber base over the prior year, a smaller rate increase in -- versus the prior year, along with a competitive pricing environment. The 6,300 decline in Internet subscribers was an improvement over the previous quarter, while Internet subscriber additions in Ohio recorded their first ever positive growth of 1,300 new subscribers. Adjusted EBITDA declined by 7.9% in constant currency due to lower revenue, offset in part by lower operating expenses driven by cost reduction initiatives and operating efficiencies. Note that last year's comparative Q4 period was the highest EBITDA level of all quarters for that year, largely due to the reorganization of our operating entities. Now turning to our consolidated numbers for Cogeco Communications. At the consolidated level, revenue in constant currency declined by 5.3% and adjusted EBITDA declined by 3.3%. This result is mainly due to the revenue pressure in the U.S., partially offset by strong execution on operating efficiencies as well as customer growth in Canada. Diluted earnings per share declined by 6.2% in reported currency, mainly due to lower EBITDA and higher financial and restructuring costs. Capital intensity was up at 21.8% versus 20.4% last year. Free cash flow in constant currency decreased by 27.4% in the quarter, but was up by 7.9% for the full year. Our net debt to adjusted EBITDA ratio was 3.1 turn at the end of the quarter, unchanged from the level reported in Q3. We have increased our dividend by 7%, having declared a quarterly dividend of $0.987 per share. And as Frank mentioned, with anticipated strong free cash flow in fiscal '26 and '27, we expect to continue to increase dividends meaningfully in the future. At Cogeco Inc., our revenue in constant currency decreased by 5% and adjusted EBITDA declined by 3.9%, with growth in radio, partially offsetting revenue declines at Cogeco Communications. Media operations revenue increased by 8.5%, driven by growth in digital advertising revenue. We have also increased the dividend at Cogeco Inc. by 7% in lockstep with that at Cogeco Communications. Let's now discuss our fiscal '26 guidance, which we are introducing today. On a constant currency and consolidated basis, Cogeco Communications expects revenue to decrease between 1% and 3% compared to the prior year. As growth in Canada is offset by competitive pressures in the U.S. Adjusted EBITDA is anticipated to decrease between 0% and 2% versus last year as we continue to face revenue pressures in the U.S. and are investing in new sales and marketing capabilities, especially in the U.S. as part of our 3-year transformation program, all while generating additional operational efficiencies. We will also incur some costs related to our Canadian wireless operations, including some IT costs recognized in adjusted EBITDA starting in fiscal '26, and I'll get back to this in a second. Turning to our capital expenditures. We are expecting to spend between $560 million and $600 million, including $100 million to $140 million in growth-oriented network expansion, resulting in a capital intensity of between 19% and 21% or 15% and 17%, excluding those network expansion projects. Free cash flow and free cash flow, excluding network expansions are expected to increase between 0% and 10% compared to fiscal '25. Our full year current tax rate is forecast to be 11.5%. In terms of segments, an important item to note is that beginning in Q1 of fiscal '26, Canadian Mobility, which had been included in our corporate segment during the start-up phase will not be recorded in our Canadian segment given the recent full-scale launch of the product. This reclassification will have no impact on the consolidated level and comparative segments for the prior year, and we will also adjust basically the results for the prior year for that. In addition, our IT costs related to Canadian Mobility, which were recognized below the EBITDA line as cloud computing costs in fiscal '25 during the implementation period will be recognized as OpEx within the Canadian segment starting in Q1 as those systems are now in operation. So overall, we expect the fiscal '26 Canadian segment's adjusted EBITDA to be impacted by about $20 million versus what we reported in fiscal '25. Of that, $11 million is simply the reclassification from corporate OpEx to the Canadian business and the balance is moving from below the EBITDA line to OpEx. That's basically the IT systems I was relating to. We nevertheless expect the Canadian operations growth to largely absorb those additional costs in fiscal '26 through customer growth and operational efficiencies. As it relates to Q1, we expect consolidated revenue and adjusted EBITDA to decline in the mid-single-digit range in constant currency. We then expect a material sequential improvement in our year-over-year adjusted EBITDA trends starting in the second quarter as we benefit from already quantified cost savings, rate increases and improving U.S. customer trends. More specifically in the U.S., we expect the Q1 year-on-year adjusted EBITDA variation to be slightly better than the Q4 variation that we just reported, followed by solid gradual improvements as we benefit from easier year-on-year comps in addition to the aforementioned factors. At the consolidated level in Q1, with our restructuring program largely completed, we do not expect material acquisition, integration and restructuring costs in the quarter. And we expect our financial expense to be about $10 million less than in the prior quarter in Q4. while our depreciation and amortization expense should be about $4 million lower than in Q4. Finally, at Cogeco Inc., we have issued the same financial guidelines as Cogeco Communications with the exception of net capital expenditures. And now Fred and I will be happy to take your questions.
Operator: [Operator Instructions] Your first question comes from Aravinda Galappatthige with Canaccord Genuity.
Aravinda Galappatthige: I just wanted to pick up on the sort of the comments around the IT spend in wireless. A bit more broadly, given that you've launched now and it's deployed across the footprint, are you able to sort of update us on sort of the total impact on Canadian EBITDA or the expectation that's built into fiscal 2026? I know about that you talked about the $9 million incremental piece from IT. But more broadly, given sort of the pricing changes you've done, I just wanted to see how much of a drag it could create in the first half or even for the full year. Maybe stop there.
Patrice Ouimet: Sure. So yes, so just the reclassification of some OpEx from corporate to our Canadian business, and moving some IT costs from below the line to above the EBITDA line will create pressure of about $20 million on our Canadian numbers. Obviously, it doesn't change anything at the -- especially for free cash flow, if you look at the full company, it's 2 reclassifications. One will basically show the comparative values that will be adjusted in the prior year. That's basically what's moving from corporate to our Canadian business. The other one will not be reclassified in the past basically as this is moving forward. That's the IT cost. That being said, as I was saying earlier, we are expecting growth in our Canadian business otherwise at the EBITDA line. So we should normally be able to absorb this. To your wider question on -- if I got your question right, on what mobility does for us. Obviously, we're starting from basically a very small number. So I wouldn't say that the numbers will be meaningful in terms of the benefits in year because obviously, we're starting from a small base. But we do see benefits, and we've been very successful with the launch so far, and we see a lot of interest from our customers. And again, to remind you, the goal with mobility, it's primarily to bundle services for our customers or noncustomers that are neighbors of our customers in the regions that we serve. It can be used in acquisition. It can be used in retention as well.
Aravinda Galappatthige: And then just sort of maybe just turning to the U.S., the wireless sort of experience so far. Is there anything -- any feedback you can provide or share in terms of how the churn profiles have been impacted by your wireless launch? I realize it's early, so perhaps it's not much, but anything you can share would be interesting.
Frederic Perron: Aravinda, it's Fred. Yes, we've analyzed it, and we see a materially lower churn in the U.S. from customers also taking wireless from us. Now we have to be cautious because some of that is simply self-selection. So customers who like us better, less likely to churn are more likely to buy wireless anyways. But the churn difference is so pronounced that we believe at present time that there's a benefit above and beyond self-selection as it relates to churn benefit from wireless.
Aravinda Galappatthige: Okay. And then lastly, just a bigger picture question on the fiscal '26 guide. I know, Patrice, youâ€™ve talked about what Q1 would be like. Is it fair to suggest that the guide still assumes a close to mid-single-digit decline in the U.S. as far as EBITDA is concerned and then a little bit of catch-up in Canada? Or is it low single digits, both geographies?
Patrice Ouimet: Yes. So we've -- yes, I haven't commented really on what we expect for the full year, but I could say for what we're assuming in the U.S. for the full year at the EBITDA level, obviously, in constant currency, we should do better than your assumption of mid-single digit, given that we see a better -- a good improvement in the customer situation because we did lose a lot of customers in the prior year, and we're expecting to do a lot better there. We've implemented a lot of tactics as well to achieve this and also to manage how we price our products, how we handle it in retention. And our program, our 3-year transformation program is continuing, and we have further cost improvements that we are planning to bank on. We talked about the chatbots before. We've changed our phone systems as well, automated phone systems that now have AI components. These are just examples, but there's other elements as well in our programs that will kick in, in the year.
Frederic Perron: The other thing I would say about the U.S., Aravinda, is we've done a lower rate increase over the past year than we had in prior year in an effort to derisk the ARPU. That obviously, you can see in our Q4 results in the U.S., and you'll see in our Q1 results a little bit as well. But as we go into the next year, we have an opportunity to do rate increases in some segments that were not captured before. So it doesn't mean we'll do very large rate increases, but there are some segments that were previously not fully exploited. And therefore, we do see a bit of revenue upside from that starting in the second and third quarter.
Operator: Your next question comes from Vince Valentini with TD Bank.
Vince Valentini: Thanks for the extra detail on the wireless Canadian impact. But can I ask one other item on that is you've seen like you had a very strong start out of the gates. As you even say, you slowed down your marketing and pricing efforts as a result of that. Given all the customers you had out of the gates taking a free line for a year, you still have to pay the wholesale fees on that. Is that not a potential incremental drag on your EBITDA in the Canadian segment in 2026 as well?
Patrice Ouimet: Yes. It's -- well, by the way, we have different types of products. So we do have paying customers as well. But -- and again, this is linked also with them being customers with Internet and maybe other products as well. But the numbers are still small, right? We're starting -- when you compare it to the size of our business in Canada, it's factored in our guidance, but I wouldn't say it's a lot. We have a bit more marketing costs we're doing, obviously, as we launch, but not that material.
Frederic Perron: Yes, Vince, the launch promotion was something that was budgeted and is in our forecast. We thought it was an efficient way of getting started. So we consider it almost a marketing investment. But as you've said, we've already pulled back. And at this time, the free line for a year is only available on our talk and text plan without data, which very few customers take.
Vince Valentini: Okay. Sticking with Canada and the more disciplined pricing environment you're seeing, does that not open up some opportunities for rate increases on your platform? And I know you don't like to talk about them before they're announced to your customers, but is there any broad sense you can give us as to what you've baked into your guidance for ARPU growth in Canada?
Patrice Ouimet: Yes. So I think we'll stick with our policy of not talking about it in advance. But I would say, generally, we do have some price increases that we -- that are reasonable in our different products, especially for video and Internet. So normally, we put out guidance like this. We do have an expectation when they -- obviously, they don't cover the full year, and they're put through during the year. We did have some in recently that will impact the full year, but it varies by product.
Frederic Perron: And I'll just add beyond the rate increases that we do, obviously, a reality of our business for the past many years is that new customers come in at a lower ARPU than existing customers, but with a more rational pricing environment is we're seeing the ARPU of new customers ticking up a bit in recent months. There's also the stickiness at the end of promotions, which has the possibility to increase as customers are not presented with as aggressive offers from competition.
Vince Valentini: Okay. I'm going to switch to the U.S. You added -- correct me if I heard this right, you added 35,000 new fiber-to-the-home passings in just in fiscal 2025.
Frederic Perron: The comment that I made in my section of the introduction is that we have upgraded 35,000 doors from cable to fiber.
Vince Valentini: Right. So -- but that was -- that's not a total. That's the incremental in the fiscal year.
Frederic Perron: Correct.
Vince Valentini: So 2 questions on that. Can you give us any sense as to what the total fiber passings are now? And secondly, to get that extra 35,000, was that using the new technology that you sort of talked to us about last November?
Frederic Perron: The second part of the question, the answer is yes, and that's why you still see a good CapEx from us.
Patrice Ouimet: Yes. And we'll continue this in fiscal '26. So our program to selectively upgrade certain areas in the U.S. with fiber-to-the-home as it is a good cost benefit to us with this new technology. It doesn't apply everywhere, but there are some areas where it does a lot of sense. This will continue this year and probably a little bit in fiscal '27. Again, we can absorb this in our CapEx envelope. Overall, to your question, we don't disclose specifically our fiber component. As you know, most of our network is fiber, but the last mile, obviously, is -- we're still predominantly on coax. And it's generally more efficient to upgrade the coax than do an overbuild as we're doing selectively in the U.S. So I would say, overall, between the network expansions that we're doing, those are generally in fiber-to-the-home. We've been doing this for more than 10 years and the selective upgrades. It's still a small portion of our network that is fully fiber-to-the-home. But again, as we upgrade coax, we're able to deliver in many regions, actually 2 gigs even on coax by doing minor -- we're not even on DOCSIS 4 yet. And so we offer 2 gigs in several regions in Canada. So this -- I would say the future will be a mix of fiber-to-the-home, upgrades of coax and there's different ways of upgrading that. Eventually, we'll have DOCSIS 4 as well, but we did not rush it as we're able to generally have much faster speeds than what customers want. So the cost benefit is better for us to do it this way.
Vince Valentini: Sorry, I'm going to ask one more on this because I don't think it's well understood by people. The cost per home passed when you did those $35,000, because of that new more efficient technology, can you give us an update on what the average cost was per home in terms of the CapEx?
Patrice Ouimet: Yes. It varies by region, but I would say it's generally -- it's probably around $400 or so. But really, there's some that are less expensive than this and some more. So there's -- it's not just a one number. And the more dense it is and depending on how the structure of the network is, it is -- yes, so it is fairly effective when you look at this versus doing the traditional fiber-to-the-home with the traditional method. You know the numbers for competitors. So generally, this is a lot higher. This is what we do in network expansion as well. And when you look also at going through the coax route all the way to DOCSIS 4 with high splits, you can get to these numbers easily as well over time with the CPE changes. So yes, so that, I would say, is probably a good average to use.
Vince Valentini: Sorry, Patrice, when we're talking about the U.S. segment. So when you say $400, are you talking $400?
Patrice Ouimet: Yes, it is U.S. dollars?
Vince Valentini: Okay. And last, just free cash flow, I'm sure others are asked about this, too, but just in general sense, I want to make sure I'm clear. Excluding rural projects, you're guiding to like $625 million to $690 million of free cash flow this fiscal year, and you're saying you can only do $600 million in fiscal 2027. Is that because you found new expansion projects so that, that bucket of CapEx doesn't go to 0? Or are you deliberately telegraphing that other items within free cash flow are going to go negative, like whether it's EBITDA or cash taxes or interest or something else?
Patrice Ouimet: No. Or the other question you could have asked is whether the $600 million is actually too low a number. But I would say $600 million, we think is a good number to use. Obviously, we'll see where we are a year from now when we provide guidance for fiscal '27, but that's still our plan right now. Within our expansion numbers, we have these bigger projects that are generally subsidized. So there's still a lot going on in Ontario this year, which will finish in '27. There shouldn't be that much CapEx in fiscal '27 related to that. That being said, we are generally building in territory as well. So there's always new construction, new neighborhoods, new streets. So this will continue. Eventually, we will not break it down as we're going to be done with the bigger projects. So you'll just see one number. It will not be meaningful to split it out. But I would say these will continue. And also the other component is as we've built in many areas and we're loading customers, we are adding CPEs for these customers. So we have to obviously invest there. And sometimes depending on how we built the network, sometimes we had to install service lines as well, basically the drops we put from the street to the house. For some of the projects, it's pre-installed. And for some of them, it's not, it's really when customers want to connect, we pass this drop. So I would say these CapEx will continue in the future.
Vince Valentini: So it's not telegraphing an EBITDA pressure or any other pressure?
Patrice Ouimet: No
Operator: Your next question comes from Jerome Dubreuil with Desjardins Bank.
Jerome Dubreuil: First one for me. I'd like you, if possible, to give a little bit more detail on the turnaround you expect on the top line. We're at mid-single-digit declines in the quarter, but you're expecting an improvement if I look at the guidance. So maybe more granularity on this? Is it from wireless? Was there a tough comp or maybe an assumption of improvement in competition?
Patrice Ouimet: Yes. Jerome. So you're talking at a consolidated level, right?
Jerome Dubreuil: Yes.
Patrice Ouimet: Okay. Great. Yes. So I would say, if we look at our Canadian business, we've been adding a lot of customers. As you know, we are still planning to continue to grow the Canadian business. So this translates into additional revenue. We have visibility on -- basically on our current client base -- customer base. We also know when we have new customers often on promotions, some that roll off promotions as well. So this is all factored in. And based on this, we'll eventually have some price increases as well. But I would say the key driver in Canada is really the additional subscribers we're able to load down that we were not doing as much of, let's say, 2 years ago. And that should produce better numbers on the top line in Canada than what we've seen in the past year. And in the U.S., I would say, similar story on the subscribers. It's just that we're starting from a negative number. We do see some improvements from what we reported on in Q4, but we're already well into Q1 right now. So we are seeing benefits. And we've put a lot of new tactics to play in go-to-market, and many of them are working well. So I would say this is the key element we're seeing for next year. We're still planning to see a negative number in the U.S. in terms of year-on-year. We still have video cord cutting and home phone cord cutting like the whole industry, but still an improvement overall.
Frederic Perron: Yes. I'll only add, Jerome, First, on the Canadian side, we've been adding subs at a good pace for many quarters now, but the pressure in the past was ARPU. And what we're seeing now with a slightly better pricing environment is we're seeing a bit of upside on ARPU as we were talking about before with Vince, the ARPU of new customers, the ARPU at promo expiry and the possibility for rate increases. And it doesn't take much of an ARPU improvement given the strong sub loadings to benefit the revenue overall. And then in the U.S., we've touched on it earlier, but we've done -- we had done a materially lower rate increase over the past year. And now the elephant is going through the stake, and we expect better progression in the U.S., especially going to the second quarter.
Jerome Dubreuil: Okay. Great. Second one for me. just continuing on Vincent's line of question on the DOCSIS to fiber-to-the-home upgrade, the coax, I should say, to fiber-to-the-home. Is this something you plan to do across your whole footprint? You kind of alluded to the fact that it could be more efficient to do that than taking the DOCSIS road map? Or is this something you really use as a tactic to maybe counter the fiber deployments?
Frederic Perron: Thanks for the question, Jerome. And maybe starting at a higher level. When you look at our total CapEx envelope, so much of it is maintenance. The majority is -- business as usual maintenance. So when you see us reducing our CapEx, that is where the reduction in the efficiency is coming from. Our growth-related CapEx, which is everything you're talking about now continues, whether it's expanding our network to new rural areas or upgrading our network in the various ways that you're mentioning. So as it relates to network upgrades, we're doing a lot of mid-splits in Canada, in particular. We're really improving. It's now over 90% of our doors have a download speed of 1 gig and sometimes 2 gig. And we're also really improving the upload speeds as noted by Ookla, for example. And then in the U.S., we have this capital-efficient way of upgrading our coax network to fiber. For example, the 35,000 doors that we've done last year and our forecast for the coming year also implies that we will continue with both sets of programs that I was talking about for the U.S. and Canada. So it's a mix depending on the region, mid-splits, even sometimes some high splits in some regions, plus this capital-efficient upgrade of coax to fiber.
Patrice Ouimet: Yes. And yes, definitely, that's the plan. And as you know, us, we've always, over the years, trying to be very capital efficient and always provide a lot more than what customers are requiring from us in terms of speeds and capacity and doing it in a capital-efficient way rather than overinvesting in the network that would not necessarily be used. So it is -- in the U.S., more specifically to your question on competition, for sure, in some regions, it does help to upgrade to fiber. But obviously, we only do it if it makes sense financially when you take a multiyear view of the otherwise upgrades we would need to do in these particular regions.
Frederic Perron: Yes. Our U.S. competitive dynamics are getting predictable, much more predictable by state, by market in terms of who's likely to do some upgrades and our competitors who may be tempted to overbuild. So we have pretty granular projections at a market-by-market level, and we're using that to inform where we will upgrade that market to fiber, for example, as a protective measure, for instance.
Operator: Your next question comes from Matthew Griffiths with Bank of America.
Matthew Griffiths: So in the second year of your transformation program, I think you mentioned that you're going to see some more investments to sustain or to move you towards a path to sustainable growth. And not to be too nitpicky or anything, but is that growth like at the revenue level? Or are you talking growth on the free cash flow level? And maybe you can elaborate on like the investments, like what are you spending money on that you think is going to generate the sustainable growth going forward? And when will that -- kind of when do you expect that to materialize if it's top line, if it's obviously free cash flow, it's somewhat baked in already?
Frederic Perron: Yes. Matt, it's Fred. I'll start with the last part of the question. Whatever investments we're making are fully baked into our guidance. There are many things we do that are not so material at the EBITDA or CapEx level. Well, we've already talked a lot about our CapEx investments anyways in upgrading our networks. So I'm not going to repeat that. But at the EBITDA level, a lot of what we're doing is not material investments in AI, analytics, pricing are not that expensive. The two that are material are growing certain sales channels in the U.S., which were underdeveloped. You do need to make an investment in staff and commissions on things like that as well as wireless in Canada. But again, that's baked into the guidance for the coming year. As it relates to which growth we want, certainly, we've already been delivering a growth in subs in Canada. We think ARPU has better upside than in the past. So therefore, I think revenue growth in Canada, and I'm not going to give a super precise time period here, but revenue growth in Canada is certainly within reach. In the U.S., it's about continuing our stabilization of our sub losses. We think that continued sub growth in Ohio is realistic. As it relates to the rest of the footprint, we're on track to diminishing those losses, and we expect lower losses in the next quarter as well. Overall, in terms of top line for the U.S., we'll have to see. It remains a challenging market, but we certainly don't expect the same challenging top line performance as what we've seen in the past year.
Matthew Griffiths: Okay. That's helpful. And then on margins, obviously, the business is benefiting from the natural mix shift away from video and so on and towards Internet. But can you help us understand like how much your cost reduction program is contributing to the margin improvement in addition to the natural mix shift that you're seeing?
Patrice Ouimet: Yes, it's a good question. I'm not sure I have the exact answer for you right now on this call, but I would say it's a mix of two. You're right. There is a mix shift towards more Internet, which does increase the percentage. As we look at the competitive nature of the industry, there's also the ARPU that plays into it. And so I would say the best way to look at it is to look at our OpEx. That does include some video costs in what we report publicly. But you can see that it's been shrinking. We can perhaps take it offline and try to give you a little more information on this. But I would say it's really a mix of the two because our cost reductions are quite material actually in what we've been doing in the past year.
Matthew Griffiths: Okay. That would be helpful. And then maybe just one quick one, if I could sneak it in. In the past, you've talked about evaluating whether or not it makes sense to kind of divest some small systems throughout your U.S. footprint. Has that filed and closed at this stage? Or is that still something that is potentially out there?
Frederic Perron: Yes, Matt, at present time, it's closed. We've looked at a few options. There were interesting possibilities, but not interesting enough, we judged at the time to strip out an asset because carve-outs are always challenging and could be a distraction for the organization in the midst of a big transformation. But who knows, we always keep options open in the future.
Operator: Your next question comes from Maher Yaghi with Scotia Bank.
Maher Yaghi: So I just wanted to maybe just dial on the homes passed increase in Canada. I mean, in the last 2 years, you've added approximately 70,000, 75,000 new homes passed. So -- and a lot of it is fiber, as I understand it. So can you just give us a perspective on the strength that you're seeing in your Internet subscriber gains in Canada? How much they're coming from these fiber edge-outs and new homes passed versus Oxio versus Cogeco out of territory? Just to understand maybe the return characteristics of these fiber rollouts that you're doing?
Frederic Perron: Maher, it's Fred. A few things here. First off, yes, all -- most expansions that we do in both Canada and the U.S. are on fiber. As it relates to the return on those investments, they're quite good, in line with what Patrice has quoted in the past, and we do exceed 50% penetration of those new builds because they're rural areas with high demand. As it relates to contribution to our net growth, it varies quarter-by-quarter between network expansion, Oxio and the legacy business. All I can say is that for this past Q4, it was mostly -- first of all, it was mostly on our own network and less as a reseller that the growth came from. And it was actually mostly from legacy areas. So in the fourth quarter, network expansion was not the largest contributor to the growth. Now as we continue to build in Ontario in fiscal '26 and going into fiscal '27 as well, we do expect that network expansion will be a more material contributor to our sub growth.
Maher Yaghi: Okay. And just a follow-up. The launch of Cogeco service under the Cogeco brand outside of your home territory, Oxio was -- as you've indicated in the past, has been a good success to capture out-of-market Internet subscribers. So maybe can you talk a little bit about the objective of launching Cogeco-branded service outside of your home territory in addition to Oxio that was already there?
Frederic Perron: Sure. First, at a higher level, Internet resale in Canada between the different players is a fact of life, and it's been a fact of life for quite some time. The 2 of the big 3 that we don't already compete with on an infrastructure basis are already reselling our network in Quebec and Ontario and have been doing so for quite some time. I would say it doesn't appear to be material neither for our growth as a reseller nor for our churn at present time. So there seems to be more noise than anything else around all this. On your question more specifically, our strategic intent by opening up Cogeco as a reseller across Quebec is purely optionality. In a world where the resale dynamics continue to evolve. As I said, they're not material at present time, but we have nothing to lose from opening up another few million doors on the Cogeco brand. We -- as a smaller company, we benefit from asymmetry in this whole game, whereby we just covered 2 million homes in Canada and there are 15 million homes. So we get an asymmetric advantage. But so far, it's not much more than optionality. However, if for whatever reason we decide to push harder on this, now the systems are activated and it's pretty quick for us to push harder.
Maher Yaghi: Okay. Can you disclose, how many -- you mentioned that you saw some good success with the wireless launch in Canada. Can you share some KPIs on that?
Patrice Ouimet: Yes. So Meyer, we are not disclosing it at this point. As you know, we're starting from nothing. So it's still a small base. Very happy with so far, but I mean, it takes time to have critical mass. So over time, we do expect at one point to disclose the mobile subs, but it's not something we're planning to do for sure this year, and we'll see in the future. It's obviously important to make sure we don't release nonmaterial information that can have -- can be used by competition. So that's where we are at this point.
Frederic Perron: Yes. I'll only say that the strong demand that we're getting, even though it's still going to take time to scale to Patrice's point, at least it's indicating to us that there's a way for us to run that business without it being a drag at an individual customer level. For example, we could always already pull back on some of our intro promotions. So I think at a unitary customer level, it's a good news.
Maher Yaghi: Okay. And maybe just to double down on this, the pullback on the promotion. It kind of came at the same time as Rogers launched fixed wireless in your territory. Were the 2 related why you pulled back on wireless promotion?
Frederic Perron: No. Absolutely not. We achieved the sub objectives that we wanted to achieve, and that's how we run the business.
Maher Yaghi: So I'm trying to square the decision to pull back from offering 1-year service on wireless as a promotion to existing customers in Canada with the U.S. strategy where it's still going on, and it's been a year or so, less than maybe a year that you launched it, you're still offering free lines. So can you maybe just compare for us why it's still going on in the U.S. and not in Canada?
Frederic Perron: It's purely a function of competitive dynamics and pricing dynamics in the market, Maher. The other players are doing it too in the U.S., the other cable players in particular. So that's what we have to do to be in the game at of time south of the border.
Operator: Your next question comes from Stephanie Price with CIBC.
Unknown Analyst: It's Sam Schmidt on for Stephanie Price. I wanted to ask a question around Ohio. The net additions turned positive in the quarter and U.S. subscriber losses also improved sequentially. Can you help unpack what changed there in terms of your strategy as well as in the competitive environment, both for Ohio and the U.S. more broadly?
Frederic Perron: Sure. Good to meet you. I'll start with Ohio, and then I'll talk about the U.S. competitive dynamics more broadly. In Ohio, Ohio is -- and I think we've disclosed this percentage of our doors coming from Ohio. It's roughly 40% of our total U.S. doors that are in Ohio, and our penetration is quite low. So it's been some time where we see a lot of upside for us in that market, and we're starting to execute against that upside. So there were some sales channels, which were not as developed in the state. So we're starting to develop the channels. We keep optimizing our pricing as well. And over time, we think there are several quarters of growth in Ohio for us as we get closer over the years to what we believe is our fair share. U.S. competitive dynamics in general. Last quarter, we said that we saw an uptick in competitive dynamics or competitive intensity in the U.S. in 3 of our states. I would say at present time, it's more 2 of those states. One of them -- 1 of the 3 has eased back down. Of the 2 that remain, we have room to believe that will ease back down of those 2 as well over the coming months. We also see interestingly that FWA is not impacting us as a company as much as it was 2, 3 years ago. We rigorously track churn destination of our customers leaving us by state. And FWA is actually relatively low down the list at this time. You can only speculate why that is. We do know that some of the FWA players are now focusing more on the B2B segment where we're not as present. So even though 2 of the 3 FWA players are reaccelerating their sales, sometimes it's in the B2B segment. Otherwise, maybe they've tapped out in their relevant customer segments in our markets. Not exactly sure, but the bottom line is FWA is not impacting us as much as before. We still see intense promotions more generally from some of the national wireline players. So you net all of that out, you would -- I'd say the U.S. competitive environment remains intense, but has not worsened from the previous quarter, and there may be some slight improvement coming over the next couple of quarters, yet to be seen.
Unknown Analyst: That's helpful. And then maybe just one on the Canadian competitive market outside of your network expansion. Are you seeing increased competition from competitors as they look to build out a footprint through TPIA or fixed wireless? And then I'll pass the line.
Frederic Perron: It's really not very material for us, neither TPIA nor FWA in Canada. As I mentioned in an earlier question, TPIA competition has been happening for a long time, and it's not really impacting us. FWA is more recent, but it tends to be focused in Quebec, which is 1/3 of our Canadian footprint, and we're not really feeling it, as you can see in our strong sub results in Canada. And then on the positive side, there's been a real material pullback in promotional activity in the core wireline business that more than offsets in a positive way, the minor noise that we see in TPI and FWA.
Operator: [Operator Instructions] Your next question comes from Drew McReynolds with RBC.
Drew McReynolds: Two for me. Maybe for you, Patrice. In terms of the reinvestment levels that you make in the business as part of the transformation program, embedded into fiscal 2026 guidance, do your reinvestments in the business stay stable? Are you absorbing a sequential increase? Or likewise, does the reinvestment level begin to ease as part of the transformation program going forward? And then secondly, I think there's some language about $100 million in CapEx spent on longer-term growth opportunities over 5 years. Just wondering at a high level, what kind of growth opportunities you'd be looking to take advantage of with that level of investment.
Patrice Ouimet: So on the transformation program, I would say when we look at better utilizing different go-to-market tactics and optimizing our sales channels, we are increasing and that's embedded in our guidance. We are increasing the use of those channels. Obviously, there's costs related to that. And obviously, that translates into new customers and new revenue. We'll see going forward as we're successful with it, obviously, the payback on these investments is very good. You have to look at the lifetime of the customer. But so far from what we're seeing, they're good. But I would say we've allocated some dollars in our guidance for this.
Frederic Perron: Yes. Andrew, an example would be what we were talking about earlier in the previous question in Ohio, where we can really grow share to get closer to our fair share. So we're making the investment in achieving that, and it's starting to yield some benefit. So there's -- so that investment is increasing, but will pay back. The other example is wireless, as Patrice explained earlier.
Patrice Ouimet: Yes. And on the second question on the $100 million, actually, it's something we've had -- we put it in the annual report, but we've had it for a few years. Basically, we have mentioned a few years ago that we might invest, and it's not CapEx actually, those would be investments in smaller companies to produce growth later on, so more in start-up mode. It's not something we've done so far, but it's not new disclosure actually if you go back to last year. So we'll see. If we do some, I do not expect it to be CapEx and no impact on free cash flow or anything. It would be more an investment on the balance sheet.
Drew McReynolds: Okay. And then maybe one last one, and I may have missed this. In terms of the rate of network or footprint expansion you expect in fiscal 2026 relative to the 50,000 in fiscal 2025, do you have that for us?
Patrice Ouimet: Yes. It would probably be similar. So I would say Canada because we're going to be -- it's a mix of what we're doing in Ontario and also, as I said earlier, what we're doing in footprint, so new neighborhoods and new streets. We will probably be around 40,000 addition in Canada. U.S. will be lower. We have less of these bigger programs, so probably closer to 10,000 new homes in the U.S.
Operator: There are no further questions at this time. I will now turn the call over to Patrice Ouimet for closing remarks.
Patrice Ouimet: All right. So we're right on time. So thank you, everyone, for these questions. I'm happy to take additional questions if you want to talk to us in -- before our next scheduled call for the Q1 results. Thank you. Have a good day.
Operator: Ladies and gentlemen, this concludes your conference call for today. We thank you for participating and ask that you please disconnect your lines.